Operator: Greetings, and welcome to the NeoGenomics' Second Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host Doug VanOort, Chairman and CEO for NeoGenomics. Thank you. You may begin.
Doug VanOort: Good morning. I'd like to welcome everyone to NeoGenomics' second quarter 2015 conference call and introduce you to the NeoGenomics team that's here with us today. Joining me in our Fort Myers headquarters we have Steve Jones, our Executive Vice President for Finance; George Cardoza, our Chief Financial Officer; Rob Shovlin, our Chief Operating Officer; Steve Ross, our Chief Information Officer; and Fred Weidig, our Controller and Principal Accounting Officer. Dr. Maher Albitar, our Chief Medical Officer and Director of Research & Development is joining us from our Irvine, California lab. Before we begin our prepared remarks Steve Jones will read the standard language about forward-looking statements.
Steve Jones: This conference call may contain forward-looking statements which represent our current expectations and beliefs about our operations, performance, financial condition and growth opportunities. Any statements made on this call that are not statements of historical fact are forward-looking statements. These statements by their nature involve substantial risks and uncertainties, certain of which are beyond our control. Should one or more of these risks or uncertainties materialize or should the underlying assumptions prove incorrect, actual outcomes and results could differ materially from those indicated in the forward-looking statements. Any forward-looking statements speak only as of today, and we undertake no obligation to update any such statements to reflect events or circumstances after today.
Doug VanOort: Okay, thanks, Steve. I will focus my comments in this morning's conference call on growth and cost reduction initiatives including the numerous opportunities we are pursuing in the second half of the year and in 2016. Steve will then review our quarter two financial results and lead us through a Q&A period. This morning, we released results for the second quarter which showed revenue growth of 18% over last year. Half of that was driven by the including of PathoLogic and half from the core NeoGenomics business. Our company has grown rapidly in a variety of environments over each of the past five years and we believe we can continue to grow strongly for the foreseeable future. I'll comment first on the key growth dynamics impacting Quarter Two on our base business excluding PathLogic and put them in context with our longer term growth prospects; I'll discuss PathLogic in a few minutes. Second quarter growth in our base business was once again broad-based. It came from all major geographic regions with the western and central regions of the country experiencing the largest increases. Growth also came from all testing categories with molecular testing experiencing the fastest growth. In Quarter Two, test volume at our base business increased 21% over last year's level. Volume growth fluctuates from quarter-to-quarter depending on particular dynamics, but has averaged approximately 30% during the past four years. Quarter Two core volume growth would have been 28% were it not for our largest customer that began performing their own FISH testing in-house in mid-2014. Since the ramp up of their in-house testing occurred in the second half of last year, our year-over-year growth rates won't return to more normal levels until the end of this year. We are pleased that core volume growth is healthy and consistent with levels in previous quarters. It also indicate that we continue to gain market share. Momentum of volume growth was also encouraging. Testing volume grew by 12% on a sequential basis from Quarter One and test counts compared with last year increased as the quarter progressed and were up about 28% for the last month of the quarter. We believe this momentum will continue as our pipeline of new account opportunities continues to be very strong. Growth was also broad-based by testing modality. Molecular profile panels grew by over 130% and single marker molecular test grew by over 33% compared with last year. Flow cytometry grew by 30% and even FISH and cytogenetics grew at double digit rates despite the insourcing of FISH testing by that one large customer. Obviously, underlying volume growth trends in our core business are very strong. Volume, however, has been growing faster than revenue due to the lower reimbursement rates for FISH testing which caused a nearly 11% reduction in average price per test. As you will recall, Medicare reduced FISH reimbursement rates by about 45% in 2014 and another 20% for 2015. Many commercial insurance carriers set their rates based on Medicare's benchmarks and effectively reduced prices for FISH by about 50% this year. As a result, our revenue and profit were impacted by about $2.1 million in Quarter Two. As we explained last quarter, we believe that the low 2015 rates resulted from errors in pricing the new FISH CPT codes that went into effect this year. We are pleased that CMS's proposed FISH rates for 2016, which were just released, correct for these errors. Under these proposed rates Medicare's multiplex FISH reimbursement rates increased by 80% to 90% for 2016 back to more appropriate levels. This also should help to increase reimbursement by commercial insurance payors that are indexed to Medicare rates. Pricing in other parts of our business whether analyzed by test site, customer site or by payor group was stable compared with last year. About 50% of our revenue is billed directly to hospitals, about 27% to commercial insurance carriers and 20% to Medicare. Based on our mix of payors and testing we are more hopeful that for the first time in five years average reimbursement rates are mixed with testing services will begin to increase in 2016 and two, three years. Strategically, we believe that the huge reimbursement changes our industry experienced over the past several years has taken a toll. NeoGenomics has been able to weather the storm by getting much more efficient, but we know that smaller labs and hospital systems are increasingly considering closing some lab operations. While this has been painful for the industry on a longer term basis, we believe there will be opportunities for efficient high quality providers like NeoGenomics to gain market share. Despite reimbursement turbulence our revenue is increasing we're growing our customer base and are more fully penetrating existing customers. Based on recent customer surveys we believe that our market share gains are being driven by superior service levels, a comprehensive menu of cancer testing services, continued innovation, a highly productive sales team and a strong managed care payor network. And in each of these areas of differentiation we're making further improvements. During the second quarter, our service levels improved to the best levels in years even with increased volume growth as our investments in automation, organizational development, and Lean processes are paying off. Also, our comprehensive cancer testing menu became even more comprehensive in Quarter Two as we continue to invest in and launch new tests. Just this week, we announced the offering of a new line of germline cancer predisposition test including BRCA1 and BRCA2 for familial breast cancer and Lynch syndrome testing for colorectal cancer. We believe that combining this type of testing with our disease-specific cancer profiling will enable physicians to practice better precision medicine and influence therapy selection. This week, we also issued a press release announcing the expansion of our multimodality cancer profile tests. We're now offering tumor type specific cancer profiling tests for head and neck tumors, pancreatic cancer, liver cancer, sarcoma and for cancers of unknown primary using a variety of testing methodologies including next generation sequencing, FISH, and immunohistochemistry. This target multimodality testing approach is another key differentiator for NeoGenomics and is increasingly being accepted by clients as a medically effective and cost effective methodology. Clients like the fact that it allows us to use the gold standard for each marker and then aggregate the results in one report. We are not aware of any other companies that offer advanced multimodality testing for a full range of different cancer types. Those are good examples of the importance of innovation to our company. We believe investment in innovation has a number of benefits. One benefit is that we're able to offer a range a testing for each client. That’s meaningful to our volume growth because during this past quarter about half of our volume growth came from selling more tests to existing clients. Another benefit is that launching new tests makes our sales team more productive as they're able to constantly describe, teach and provide new state of the art solutions to physicians. Innovation also is increasing our ability to attract academically oriented cancer centers to our company and we added several leading centers to our client list in Quarter Two. Innovation isn’t contained just in new tests. We are also continuously improving upon existing products in our portfolio. For example, lung cancer diagnosis and evaluation is frequently based on scant materials obtained by needle biopsy. We implemented a new testing procedure that allows RCU's next generation sequencing to perform complete testing for translocation when enough tissue is not available for FISH testing. Another example is the dramatic improvement in our flow cytometry services over the last few years. Information technology workflow and supplier partnership initiatives have driven the quality of our services higher and our cost way lower. And we have attracted many new clients to our service. For example, our tech-only flow services average six to eight hours of turnaround time for tests and our new clients have told us that we have the best flow program in the industry. Our highly productive sales team is also a key driver of our market share gains. At the end of the quarter we had 37 total employees devoted to sales and marketing activities with 30 dedicated specifically to sales activities. We're selective about our team, have attracted some of the best talent in the industry and continue to invest heavily in their training and development. Growth in our markets can also be fueled by participating in commercial insurance networks and large purchasing organization. This is an area of strength and also an area of further opportunity. While we currently are under contract with over 125 insurance plans we're working hard to add more plans and hospital buying groups. Our agreement with the National Blue Cross Blue Shield Association last quarter has allowed to an opportunity to meet with several significant regional insurance plans and we expect these activities to open up large opportunities for future growth. I believe we're making very good progress in this area. There are three important areas of future growth, where we are investing and making progress but where we haven’t yet realized gains. Clinical trials, our new Neolab test offerings and liquid biopsies led by our proprietary test for prostate cancer and PathLogic. In clinical trials, we continue to invest and build our team and infrastructure. We have been awarded roughly $8 million in clinical trials projects as a result of our five-year agreement with Covance, but the momentum there is beginning to slow. We continue to have discussions with Covance about the impact of their acquisition by LabCorp but this clearly has been disruptive to our partnership. But, as we said before, we are determined to develop a good clinical trials business with or without Covance. We're making progress with our prostate cancer liquid biopsy test development. We have nearly 500 patient samples in-house as part of our new study which we hope to analyze and publish results for in the second half of this year. We now expect to commercially launch this new liquid biopsy test in 2016. As you may recall, just over a year ago, we acquired a small anatomic pathology lab in Sacramento, California called PathLogic for $6 million. At that time, the company was unprofitable with about $10 million of annual revenue. We acquired the company in order to expand our specialized pathology services and to meet the requirements of Covance's pharmaceutical clients with those services. We have made excellent progress improving PathLogic's quality and services and the lab is something that we're very proud of. However, so far, we haven’t been able to sell in market their specialized pathology services to our NeoGenomics clients around the country. This resulted from delays integrating the two laboratory permission systems and in properly training the Neo sales force to sell PathLogic products. We do have concrete plans in place to expand this business and are managing it closely. However, we now expect it will take until about the end of the year to increased revenue at PathLogic to achieve breakeven level of profitability. I'm going to comment very briefly about another important aspect of our business and that is cost discipline. As we described in the past, our belief is that a sustainable high quality lab company needs to be a low cost provider. So far our increasing scale and focus on quality and process management has resulted in a 60% improvement in lab productivity over the past five years and helped to drive our average cost of goods sold down by over 30% over the same five-year period. We made more progress in this past quarter. Our average cost of goods sold for test improved toward the lowest levels in our history in the quarter. The cost per test reductions were driven by substantial productivity gain and lower cost of supplies. Productivity improved as we only added about 1% to our employee count since the start of the year even as our sequential six-month volume growth in our base price increased by 15%. Those gains occurred as our measures of quality and service also improved. As is the case in most businesses, high quality process fees are also low cost process fees and our business is no exception. The cost per test reductions we achieve in this past quarter were broad-based across all test types. Our laboratory operations teams are working hard to lower our cost through automation, supplier cost reduction, streamlining our processes, and other quality improvement and Lean initiatives. Several important projects have now been completed and are paying dividends and we believe that additional projects will further drive down cost in the future. We believe that we can continue to make our productivity gains and improve our cost per test by 8% to 10% in the second half of this year which should average out to a 6.6% to 8% reduction in cost per test on a full year basis. Clearly, there are strong benefits of scale in our business. Adding volume to well-managed and efficient process fees drive down cost per test. We have capacity for additional volume and will continue to drive volume growth and look for acquisitions that can further capitalize on the benefits of scale in our business. We have told that we intend to be an industry consolidator. You may be getting tired of hearing this but we really have been active in pursuing a number of initiatives and opportunities here. We just have not found an acquisition yet that we believe would deliver enough benefit to our company and its shareholders. Given the reimbursement pressure and general dynamics in our industry, we expect more emanating opportunities to become available. We will continue to actively pursue these opportunities and will maintain a disciplined approach to evaluate and execute transactions giving us to the best opportunities for a long term success. We reiterate our strong belief that scale is important in our industry and smart acquisitions can make us more competitive and otherwise advance our strategies. I'll summarize my remarks by emphasizing that our focus is on growth, innovation and operational excellence. We have been gaining market share and we have a lot of growth opportunities available to us. We have been keeping pace with the extraordinary advance in medicine and science and continue to offer new value added test to physicians to help them diagnosed and treat patients, and we have been steadily investing in our business and continue improve our productivity and cost effectiveness. Our short-term goal continues to be maintaining the current momentum in growth and productivity in such a way as to move this back into profitability by the third quarter of this year. Our long-term goal, as we said before, is to be America's premier cancer testing laboratory and we believe we are beginning to achieve this lofty goal. We are very excited about our company and its prospects. Now we are going to turn the floor over to Steve Jones, our Executive Vice President for finance to review our second quarter results in more detail and lead us through the question-and-answer session. Steve?
Steve Jones: Thanks, Doug. Before we open it up for queasiness I would like to briefly touch on a few financial highlights and then discuss the proposed reimbursement rates that came out for 2016 from Medicare recently. In the second quarter, we are pleased to have reported $24.3 million of revenue, an 18% increase over Q2 2014 despite the 10.6% decrease in average revenue per test in base NEO's operations which were largely as a result of the FISH reimbursement changes that went into effect on January 1. Approximately, $22.4 million of this revenue was from base NEO and $1.9 million from PathLogic. We talked at length on the first quarter call about the draconian cost for FISH reimbursement by CMS. So, I will not go into a lot of detail here, but to give you some context our average revenue from Medicare FISH test has gone down approximately 23% from last year and our average revenue per commercial insurance FISH test has gone down almost 49% on a year-to-date basis versus the prior year. This is on half of the 45% or so reduction in Medicare FISH reimbursement we experienced in 2014 as a result of the NCCI initiatives. These are massive changes they have to observe in such a short time and we are cautiously optimistic with the recently released preliminary rule making for the 2016 physician fee schedule will get us back on more realistic FISH pricing. Earlier this year, we said that we estimated the reduction to our revenue from these reimbursement changes across all payors would likely be $6 million to $8 million on a full year basis in 2015. Given that we now have had $2.1 million negative impact in both the first and second quarters, we now expect a full year impact on revenue to be $8 million to $9 million in 2015. In addition to the revenue reductions costs by lower FISH reimbursements were also impacted in Quarter Two, but it continued in sourcing a FISH test by our largest customer. As Doug mentioned, it is very large oncology client started insourcing FISH test in the second quarter of 2014. They have now largely completed this process, but the year-over-year impacts will not be fully annualized in our results until later this year. In the second quarter, we recognized $1 million less revenue from this large client than in Q2 2014. In total the FISH reimbursement cost and the insourcing we do start a revenue by approximately $3.2 million in Q2 from what it otherwise would have been. However, base NEO revenue still grew by 9% and consolidated revenue including PathLogic grew by 18% on a year-over-year basis. As mentioned in the earnings release, our consolidated gross margin including PathLogic expanding by 300 basis points from the levels reported in Quarter One to 44.4%. This expansion was made possible by a 9% reduction in cost per test on our base business versus Q1 which is the largest sequential reduction in cost per test in corporate history. On a year-over-year basis, our base business gross margin only compressed by 250 basis points from last year's second quarter despite the 10.6% reduction in average revenue per test driven by the FISH reductions. Clearly, our Lean initiatives are bearing fruit. Another bright spot for us was in our ability to control SG&A cost in our base business. Although base NEO revenue increased by nearly $1.6 million our base NEO SG&A costs were only up $40,000 relative to Q2 of last year. On a consolidated basis, the $1.1 million increase in SG&A was almost entirely due to the incorporation of PathLogic's results into our results this quarter. Given the reduction in cost for per test and the tight control on SG&A, adjusted EBITDA in our base business was actually up over $1 million year-over-year despite the loss of $2.1 million of revenue from FISH price to client more than 90% of which would have dropped to the adjusted EBITDA and the bottom-line. On a consolidated basis including PathLogic, adjusted EBITDA was up $325,000 versus last year's second quarter even after including negative $709,000 of adjusted EBITDA from PathLogic. Quarter Two net income for base NEO and PathLogic were positive $645,000 and negative $821,000 respectively which combined for a consolidated net loss of $176,000 or approximately $0.0 per share. This compares to $274,000 of net income of $0.01 per share in Q2 2014. As Doug mentioned, we expect to return to profitability in the third quarter. We finished the second quarter with 456 full-time equivalent employees, contract doctors and temps, an increase of approximately 3 FTEs from March 31. Before we open it up for questions we would like to briefly touch on our revised full year revenue guidance we issued this morning as well as briefly discussed our reviews on the proposed rulemaking for the 2016 physician fee schedule issued by CMS on July 8. Given the larger than expected FISH reimbursement declines we have realized in the first two quarters and the delays in unlocking any meaningful revenue synergies from PathLogic, we are lowering our full year, 2015 revenue guidance to $100 million to $103 million from the previous guidance of $103 million to $108 million. For context, we are on a run rate of PathLogic that is $3 million to $4 million lower than what we expect it to be at the beginning of this year and the efficient packs are running higher than we thought there would be when we issued our original guidance. However, our base business is strong and it is in line with where we expected it to be. With respect to the recently released preliminary rulemaking for the 2016 physician fee schedule, there is both good news and bad news. I need to emphasis that this just a preliminary rule that it is now subject to a 60 day common period. The final rule is not usually published until early November and as we have seen in previous years, things could change. On the good news front multiplex FISH rates and immunohistochemistry rate had nice increases. Specifically, the technical component of automated multiplex FISH which was build using CPT code 88374TC, and which is one of our primary FISH billing units, is scheduled to increase 89.9% on a national basis before adjustment for geographical differences. The technical component of manual multiplex FISH built using CPT code 88377TC is scheduled to increase 135.6%. The technical component of IHC for the first marker which was built using 88342TC was scheduled to increase 31.1% and the technical component of additional IHC markers built using 88341TC is scheduled to increase 38.2%. On the bad news front, flow cytometry's first marker billed using CPT code 88184 is scheduled to decrease 38.1% and flow cytometry additional markers billed using CPT code 88185 is scheduled to decrease 69%. The technical component of morphology billed using CPT code 88360TC is scheduled to decrease 18.7%. While we are pleased to see Medicare fix the FISH reimbursement we were not pleased to see such a large decrease in flow cytometry. Incidentally, this flow reimbursement is lower than what initially came out on July 8 because there was a subsequent release to addendum B of the new rule a few days later. For those of you that would like the information on the topic we have posted a table with the implied 2016 Medicare rates from the proposed rule on home page of our website. You will be able to find this on the home page entitled Reimbursement Update. Overall, we estimate that if these preliminary rules remain unchanged in the final rule we would have approximately $4 million to $6 million increase in revenue for our mix of testing after factoring in how we believe the private payors to these rates. This is a very preliminary estimate and we reserve the right to refine this as more data becomes available. At this point, we would like to close down the formal remarks and open up for questions. Incidentally if you are listening to this conference call via webcast only and would like to submit a question, please feel free to email us at sjones@neogenomics.com during the Q&A session and we will address your questions at the end if this subject hasn’t already been addressed by our call in listeners. Operator, you may know open up the call of the questions.
Operator: [Operator Instructions]. Our first question is from Bill Bonello from Craig-Hallum. Please proceed.
Bill Bonello: Good morning, guys. Just a couple of follow-up questions here. First of all, just making sure I sort of understand the nuts and bolts of the guidance, when you gave your initial revenue guidance last quarter you stressed that you didn’t have complete clarity on what the commercial payors actions would be relative to FISH and you had to make your best estimate and obviously that proved not quite conservative enough. At this point, do you believe you have a free comprehensive view of where the rates have settled across the payors?
Doug VanOort: Yes. We do, Bill. We're running about 49% on the commercial payor FISH reimbursement, 49% reduction versus last year, which is about 10% higher than originally we thought. While we did some success of getting a couple of the larger payors increase their FISH rate, most of the payors have just decided that their index to Medicare or their benchmark against Medicare or the benchmark against Medicare, and it's been an hand to hand combat with a lot of them. We have over 800 commercial players in our mix and we can't get them all, but on a good news front once Medicare raises the rates in 2016 we will have ample ammunition to go back to those payors and suggest that they really need to raise the rates.
Bill Bonello: Okay. That makes sense, but we should not expect any in future quarters at this point that should not really be subject to revision what the impact is from the FISH fees.
Doug VanOort: No, I think we are pretty well got it scoped out this point.
Bill Bonello: Okay. And then if am looking at the numbers correctly, it looks like there was a pretty significant year-over-year and maybe sequential reduction in the revenue per requisition at PathLogic this quarter. I guess you know year-over-year because I didn't have last quarter's, but relative to where it has been during the last quarter and the last couple of quarter is something going on there, has there been either a loss of the high value business, or have there been rate cuts on that side of the business, what accounts for that?
Steve Jones: Bill, it is a little bit of both. We did lose one hospital system that had a relatively attractive price, but also one of the things we have via electron microscopy department out there and those codes were cut for 2015. So, it is a little bit of both in terms of the PathLogic [indiscernible].
Bill Bonello: Okay, in the sequential presumably that the sequential decrease it wasn't related to the Medicare rates, is that right that would have been to the loyal customer or something?
Doug VanOort: That would be right, yes.
Bill Bonello: Okay. Great. And then just one point of clarification on Doug's comments. You talked about having 500 samples now for your liquid biopsy. I guess it was not specifically sure if that was prostate specific that you are talking about or if you could just clarify on that?
Doug VanOort: Yes, Bill. So that was in reference to our latest work to develop our prostate cancer test. We have reported on that before. Actually Rob Shovlin, our Chief Operating Officer, has been working on the commercial aspects of that. Rob, you want to make a couple of comments about that?
Rob Shovlin: Sure. Hey Bill, so historically on the earnings calls we focused mostly on the development of the assay and we have accomplished quite a lot of that front. Dr. Albitar in the R&D team published the paper in 2014 which was our first site in prostate cancer with 141 patients and that was accomplished in genetic testing and molecular biomarkers and we followed that up with a second study of 319 patients. That was accepted as poster at ASCO in 2014 and that site now has been submitted to a journal for publication as well. And so the site we were talking about today is the third study in prostate cancer where we have a goal of 800 patients and we referred about 500. Since the last earnings call we have several more sites that are now participating in that study. So we are accruing cases that are at faster rate. Personally for me I try to focusing more of my time on the commercial launch, and as you can imagine there are a lot of details to consider especially since we are entering a brand new market for NeoGenomics. Given that we do not have a lot of existing presence or any presence in urology it is important that we make a great first impression there. So we are working on that commercial plan as well and shifting our focus to commercialization from development.
Bill Bonello: Okay. Great. That is pretty helpful, thanks.
Doug VanOort: Good. Thank you, Bill. Let me just follow up really quickly about your question about PathLogic. So it has taken us longer to get the revenue synergies that we wanted at PathLogic, there are couple of reasons for that. One it is integrating the lab information system and the second is getting our NeoGenomics sales force all geared up and trained. We have made a lot of progress on PathLogic in terms of the laboratory. We really feel good about the laboratory, we have just come through an excellent inspection of that lab and I think we are making a lot of progress with PathLogic. We just have not seen it in our financial results yet.
Operator: Our next question is from Debjit Chattopadhyay from ROTH Capital Partners.
Debjit Chattopadhyay: Good morning guys. Thanks for the questions. Firstly, on the proposed CMS changes to the rates going forward. So what can NEO and the industry is doing to make sure that CMS does not repeat the 2000 fiasco?
Doug VanOort: Thanks for the question, Debjit. So we are doing a few things. First is we are making sure that CMS knows that they are doing the right thing on the FISH corrections for 2016. A number of labs and providers are trying to communicate with CMS to let them know that that those rates for 2016 for FISH are appropriate. Relative to the flow cuts, we have just understood this within the last week and we are still trying to understand exactly why they cut them, what the components of those reductions are we will be sure to comment to CMS about those cuts. Quite frankly, a 70% cut is very disruptive to the whole industry. We would really argue very, very closely and very vehemently with Jim and ask that if we're going to cut something, you know they got to make it into a three or five-year sort of process to give the industry a time to observe these cuts and to pursue alternative strategies. We continue to have dialog with CMS; ACLA does, CAS does and it is a process.
Debjit Chattopadhyay: Okay. Great. And then have you guys already reached out to managed care or do think you want to basically the ruling comes in before you can actually have a formal discussion with managed care regarding 2016?
Doug VanOort: So as we learned last year there can be changes between the preliminary rule and the final rule. It is probably as best to wait till the final rule is out and then we can bang the table on it. And I think we are having conversations generally with managed care, but we will get much more specific and intentional after the final rule comes out.
Debjit Chattopadhyay: And moving on to PathLogic, the synergies that you were expecting from that acquisition it is not clearly materialized on selling bad businesses, [indiscernible] to your core customers, but what is your part on the other way around, I mean selling NEO's core practice businesses to the PathLogic accounts?
Doug VanOort: Yes, actually Debjit, we are making some progress there. So in Northern California we did not have a big presence before in NeoGenomics and we have been making a number of presentations to hospital systems there and the client explaining for example our molecular menu or beginning to make progress entering some of those accounts for the NEO core services. We would like to be serve a one stop shop for those clients and to be able to offer the PathLogic services as well as NeoGenomics. We are trying to sell to existing NeoGenomics clients the specialty pathology services that PathLogic offers those would include renal pathology in women's health and dermatology or dermatopathology consults and things like that and we have not made progress there yet, but I think we will.
Debjit Chattopadhyay: And then [indiscernible] test I believe you basically have now doubled the number of patients you have technically enrolled in the study from your betascroll protocol. When you say 2016 launch when do you think that launch is like to materialize? Are you really going to wait for a big national conference like the ASCO or [indiscernible] something like that or do you think it could happen pretty early in 2016 considering the test is now been potentially more than a year delayed?
Rob Shovlin: Hey, Deb, this is Rob. So on the commercialization again for those others on the call, urologists and primary care physicians need a test that can better discriminate which patients are likely or unlikely to have cancer and which are likely to have high grade disease and we believe our test can have a real impact on these patient's lives. As I was saying to Bill, we're being very deliberate with the planning here because we're entering a new market and we want to live up to high standards set by NeoGenomics at our core business and we want to make a great impression. So we're being deliberate with that planning process but I'd expect that it would be in the early part of 2016. Probably the best time [indiscernible] when the American Urological Association meeting occurs to have something out so you can make a big splash at that meeting. ASCO happens around the same time but the initial push will be in the urology community followed by more general practitioners.
Debjit Chattopadhyay: And one last question on the clinical side of the business segment. You mentioned $8 million in business won already. Has that started to reflect in your top line or that’s more of a second half in 2016 story at this point?
Doug VanOort: Well, it's just beginning actually, Debjit. So we continue to believe that the clinical trials business is a real opportunity for us. And the awarded business takes a little time to have the investigator sites all up and running and that sort of thing as you know. So it's beginning. We're also starting to make progress developing our direct to pharmaceutical channel. We've made some important hires in that area and so we'd expect that the business would ramp up as we go forward here.
Operator: Our next question is from Amanda Murphy from William Blair.
Amanda Murphy: I just had a few more questions on the test situation. So I think what you're saying based on your answer to Bill's question was that in terms of the guidance you say that you are ending up not getting as much as you thought, is that the right way to think about the difference?
Doug VanOort: Well, I think the best way to think about it is the [indiscernible] was a little bigger than we thought. And we made some progress some of the larger guys but getting to the bulk of the insurance companies and getting in any meaningful changes is likely not going to happen. And so we get the final rule for 2016 published. We have had discussions with numerous of them but to get smaller insurance companies who are hell bent on having a benchmark to Medicare even engage you in a conversation like this quite a lot of energy.
Amanda Murphy: And then the amount you quantified for 2016 in terms of the those initial benefit from all the changes, can you just talk a little bit and I guess maybe specifically around, well, I guess both test and flow kind of what the Medicare benefit vis-à-vis the private pay. So I'm just trying to get a sense of what you're specifically assuming on the private pay in terms of them maybe giving you some back from 15 versus the straight Medicare benefit?
Doug VanOort: Well, it's an estimate, and its preliminary estimate at that, but if you take the chemical component going up by 90% on the multiplex automated FISH and you assume that the private payors were below Medicare to begin almost all of them, our initial estimates are somewhere on the order of half of that we would get from Medicare we would get from the private payors. And again that’s just a preliminary estimate based on where we are at now. And on the flow side commentary we don’t think it will go down as much as Medicare because the private payors are well below Medicare in some cases on flow depends on how where you are and what exactly the markets are but so maybe it’s a third to a half of the impact on the flow side commentary side. That third to half being back to Medicare on the commercial side. But you got to also look AHD going by 30% and you got to look at morphology going down, you got to put it all into the blender and range bound it and come up with a decent range and we may get some of these a little wrong but we're hoping on average to come about where we think we're going to be. We generally try to be very conservative as you know on these types of estimates.
Amanda Murphy: And then just another one on reimbursement, so just thinking forward what else is out there? I mean, you got PEMA which maybe as you [indiscernible] clinical lab you still go back at the potentially [indiscernible] and kind of frame out what kind of left here? I know obviously '16 look better with the FISH increases but maybe longer term you're thinking what else is on the table potentially?
Doug VanOort: So Amanda, the [indiscernible] fee schedule for next year at least came out amply flat for this year for the mix of business that we've performed at least. We think that -- well, if you look at our mix of payors, right now about half is client bill under contract. So if you look at just the Medicare piece of that, I mean they cannot head, kind -- and just about everything that we do. And of course their commentary was the last one that we have talked about that we knew was on the "misvalued code risk" and so they are looking at that obviously as we discussed for 2016. I'm not sure what else there is [indiscernible]. But I'll give you guys a little context. If you look at 2006 to 2009 what I call as the glorious years, where average revenue per test was increasing 4%, 5%, 6% and even 7% one year on average bar mix of testing. If you look at 2010 through 2015, we have seen cumulative reductions to overall average revenue per test more than 30% in that six year period and that's something you can't keep doing that forever. So we are I don't know cautiously optimistic may be even optimistic that the worst is over and that we are going to see at the worst stable pricing and at the best nice [move is] upward. Medicare has actually very reasonable, they're very -- they want to get the policy right. When they over touch something they usually put it back. When they change around for a cytology reimbursement in 2015, they increased it pretty aggressively over the next few years after everybody stream blood [indiscernible] and they realizes they got the policy wrong and lapsed for selling themselves. And I think they launched capacity in the system very closely and when capacity start to go other system all realizes they probably got in the wrong. And we have a great relationship with Medicare and we don't want to single them out. And at the end of day, we actually really do believe that they're trying hard to get the policy right. And we'd like to be a source for them to help input their thinking and influence their thinking. And so we are going to comment on all these things. But we just can't see a scenario where there is any further [indiscernible] in content, how you think view at this in time, it just -- it wouldn't make sense.
Unidentified Company Representative: Yes. Let me just build on one aspect of that. It's not all that. I mean, for trigonometry, let's just take that as an example. We think we have a low cost physician and we have a terrific product. Already hospitals are closing down their flow leads and we are beginning to benefit from those things. So we would expect in the future to have a lot more volume growth in instances where hospitals look at it and say we just -- this is unprofitable for us to keep running flow. So that' the case where our work off position is going to even as revenue per test declines our profitability would be -- the impact would be mitigated because of the volume growth.
Amanda Murphy: Got it. Okay. And just last one for me on the clinical trial commentary. Was any of the guidance reduction kind of related with the comments what was mentioned [indiscernible]? And maybe just if you could give us a little more clarity on what that means going forward in terms of -- is it going [indiscernible] or is it just not quite in line with our expectations?
Doug VanOort: Yes. So the guidance reduction was all about PathLogic and FISH as Steve mentioned. Our clinical trials business is about where we thought it would be and it's about on our [indiscernible] number for the year. We actually are gaining momentum in our clinical trials revenue on a month-by-month basis. And its slower growth than we expected, but it's growth nonetheless.
Operator: [Operator Instructions] Our next question is from Jeff Bernstein from Concept Capital.
Jeff Bernstein: Hi guys. Just back on the expected $4 million to $6 million potential increase from the CMS rate increase in 2016, could you talk about what that [indiscernible] fall through order all like to operating income on that?
Steve Jones: Yes. So when you have a price increase the only incremental expense on it are commissions only selling it and on the incremental bad debt. And we would expect somewhere around the 92% to 92% of that to fall through to adjusted EBITDA and network income.
Jeff Bernstein: Great. So we should be seeing the benefits of the leverage here that's building underneath?
Steve Jones: We certainly hope so. In fact if you combine rate increases with continued reductions in cost for test interesting things start to happen.
Jeff Bernstein: And in the flow cytometry I think you guys have some pretty advanced flow stuff that you do, is that what this is focused on or this is just generic flow overall?
Doug VanOort: The [late] flow cytometry is billed as you get one rate for the first marker and then you get a much lesser rate for additional markers. Medicare has limited the number of markers you can bill to 24, so we typically bill 24. In most of the complex heam cancers that we do flow cytometry on the medical standards, goal standard is to do somewhere between 28 and 31 markers. In other applications of flow cytometry you wouldn't bill as many markers, but the heam cancers generally you want to look at that. And so you'll see us do 24 panels, usually pretty consistently on our Medicare cases. And so when they reduce the price on the additional marker by 70% it has a pretty big impact on our overall business. The are other uses for flow cytometry like EKB, there is some EKB testing, there is other uses that have less than 23 or 24 markers, but for us it's mostly just cancer and the heam cancers.
Jeff Bernstein: Got you. Okay. And so heam cancers are kind of a big growth area. So -- and we're trying to just wrap our brains around kind of with the madness behind the method is at CMS. It still sort of feels like they are kind of taking blunt instruments to whatever areas are growing quickly out there. Is that still basically what's going on there?
Doug VanOort: Well, I think CMS does scrutinize tests, which are gaining in volume much more so than others, yes. We don't really know what criteria go into their definition of misvalued codes, but FISH was a misvalued code three years ago, flow cytometry was in last couple years. Those were based on we believe their growth in those test types. None -- after flow I'm not sure of any misvalued code items on their radar screen that we performed.
Jeff Bernstein: Okay.
Doug VanOort: And we feel little worked on the [indiscernible] XL, tables with the rules and we did a little work on the supplies cost input and it looks like they dramatically reduced the allowable reagent cost for flow [indiscernible] in the 2016 assumptions. And obviously, one of the first things we'll be doing is assessing in where they think it should be versus what we own practices. We believe we'll be able to light a pretty good common letter; we have a different point of view on that.
Steve Jones: Operator, I think there is no more questions in the queue. And we haven't received any further questions via email. So Doug, I'll turn it back to you to wrap the call.
Doug VanOort: Okay. Steve, thank you. As we end the call, we'd like to recognize all 447 NeoGenomics team members around the country for their dedication and commitments to building this world-class cancer genetics testing program. And on behalf of all of our NeoGenomics team, I want to thank each and every person on the phone for your time joining us this morning for the quarter two 2015 earnings call. Let you know, that our third quarter 2015 earnings call will be on or around October 22 of this year. So for those of you listening who are investors or considering an investment in NeoGenomics, we thank you for your interest in our company. Good bye.
Operator: Thank you. This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time.